Operator: Good day everyone and welcome to today’s American Vanguard’s Fourth Quarter Financial Result Conference Call. At this time I would like to inform you that this conference is being recorded and all phones are currently in listen mode. I will now turn the conference over to Mr. Bill Kuser-Director of Investor Relations. Mr. Kuser please go ahead.
Bill Kuser: Thank you very much and welcome everyone to the fourth quarter and full year 2007 American Vanguard earnings review. Our principal speaker today will be Mr. Eric Wintemute, president and CEO of the company, and Mr. James Barry, our CFO, to contribute on financial matters. Before beginning, we should touch on our usual cautionary reminder. In today’s call, the company may discuss forward-looking information. Such information statements are estimates by the company’s management and are subject to various risks and uncertainties that may cause the results to differ from management’s current expectations. These factors can include weather conditions, changes in regulatory policy, and other risks as detailed in the company’s SEC reports and filings. All forward-looking statements represent the company’s best judgment as of the date of this call. With that said we will turn the call over to Eric.
Eric Wintemute: Good morning everyone, thank you all for joining us today to discuss American Vanguard’s fourth quarter and full year 2007 performance. We are pleased to be reporting results that clearly demonstrate considerable improvement over 2006. More importantly, we want to elaborate on a number of important developments that give us considerable optimism as we proceed in 2008. First is an overview of our financial performance with additional detail provided in a moment by our CFO Jim Barry. As highlighted in our earnings press release our fourth quarter and full- year 2007 financial matrix all improved substantially. A 26% sales increase in the fourth quarter contributed to our full year revenue improvement of nearly 12%. Similarly, operating income, net income and earnings were all significantly higher in the current periods relative to last year. Our gross profit margin improved in the quarter to nearly 45% and finished the full year at just over 44%, reflecting our highly specialized, premium product mix and our efforts to pass-through rising raw material input costs. We did experience an elevated level of operating expense in the fourth quarter largely attributable to sales, rebate programs and increased shipping expense driven by higher fuel costs. For the full year however, total operating expenses as a percentage of sales remained steady with 2006 levels, at about 27.5%. I will now ask Jim to elaborate on some of the specifics. Jim
James Barry: Thank you very much Eric. Good day to everyone. As our earnings release announced and Eric underscored, net sales for the fourth quarter increased 26% to $69.1 million as compared to $55.1 million in the fourth quarter of 2006. Gross profit margins improved to 45% for the fourth quarter of 2007 as compared to 44% in 2006 due to the large part to changes in the sales mix of the company’s products. Operating expenses as a percent of sales were 26% for the fourth quarter of 2007 as compared to 24% in 2006. Operating expenses increased by $4.7 million in 2007 to $18.1 million from $13.4 million while our operating income improved to $12.8 million from $10.7 million. I will now highlight some of the differences in operating expenses by specific departmental costs, they are as follows: Increased selling expenses represented 51% of the increase in operating expenses due to increases in programs and related costs. Advertising, promotion and marketing costs as well as the increases in outside professional fees and other variable selling expenses related both increased sales levels and product mix of our sales. An increase in general sales administrative expenses represented 18% increase of the overall increase due to an increase in amortization of intangibles that were directly related to the Company’s recently acquired products, as well as, experiencing increases in legal expenses, other outside professional fees and increases in payroll and payroll related costs. Research and product development costs served to offset part of the increase in overall operating expenses and we experienced a $581,000 decline in the fourth quarter of 2007 due primarily to lower costs incurred to generate our scientific data related to the registration of our Company’s products. An increase in freight, delivery and warehousing costs represented 43% of the overall increase in operating expenses due to increase sales levels, high fuel costs, and the product mix of the Company’s sales. Interest costs before capitalized interest and interest income were $900,000 in the fourth quarter as compared to $1million in the same period of 2006. And that reduction was due in large part to lower overall debt levels. Income tax expense increased slightly to $71,000. However, the company’s effective tax rate was 37.1% for the fourth quarter of 2007 as compared to 44.7% in 2006.Our net income improved to $7.6 million in the fourth quarter as compared to $5.4 million in the same period in 2006. For the year ended December 31, 2007, net sales rose 12% to $216.7 million compared to $193.8 million in 2006. Our gross profit margins improved to 24% for in 2007 as compared to 43% gross profit margin in 2006 also due in large part to the changes in the sales mix of the Company’s products. Operating expenses as a percentage of sales were 28% in 2007 compared to 27% of 2006. And our net income was $18.7 million in 2007 compared to $15.4 million in 2006.With respect to our Balance Sheet disclosure, while we were hopeful to be in a position to discuss specific line items, we have been guided by our independent public accounting firm not to that and not to discuss specific line items at this time given the fact that they are still in the process of completing their other field work. All that being said, as of December 31, 2007 the company had approximately $74 million in working capital, stockholders’ equity of $139 million and total debt of $60 million. I’ll now turn the call back over to Eric Wintemute.
Eric Wintemute: Thank you, Jim and just to highlight a couple of balance sheet items that I think are notable versus year end 2006. In 2007 our fourth quarter revenue was up 26% as previously discussed and our receivables are down 34%. Our long term debt is down 40% and our debt to equity ratio has decreased 47% to a .43 ratio. So I am pleased with the direction last year. Now, I would like to spend a little time telling you about a number of accomplishments, and the status of several important initiatives which should allow us to achieve even better performance in the future. With regards to the viability of our business model, in late 2007, we continued our traditionally successful business model of acquiring products from other companies and capitalizing on our ability to integrate them operationally and refresh their market position. In the fourth quarter we acquired a fungicide product line from Chemtura Corporation, and the Orthene product line from Valent Corporation. These established product lines are extremely well suited to our existing marketing and operating capabilities. We already manufacture and market the PCNB fungicide products that we acquired from Chemtura, and we expect to gain a much stronger position in the turf & ornamental and the international markets as a result of the purchase. In the Orthene case, we will be strengthening our participation in tobacco, vegetable and specialty markets and broadening our existing product offering in the cotton market, in a way that may offset some of the declines that we have seen as a result of acreage shifting from cotton to corn. Both of these efforts demonstrate our ability to constantly strengthen and refresh our portfolio of high-value products designed to serve specialty niche products. I would reference now our U.S. manufacturing. At the end of 2007 and the beginning of 2008, we have expanded our domestic manufacturing capability in ways that should allow us to better serve regional U.S. markets and permit an optimization of production scheduling and logistics. As we previously announced we are creating a Metam fumigant production unit at our existing facility in Axis, Alabama to serve the demand for such products in the Southeast region. This plant is expected to be operational by the end of the third quarter of this year. Second, we have taken the important step of acquiring from BASF the Hannibal, Missouri production unit of our important Counter and Thimet insecticide lines. This location will also provide a better logistical platform for our increasing presence in the Midwest grain markets. Most recently, we announced the purchase of a Marsing, Idaho facility from Bayer which will both enhance our capacity to formulate portable products as well as better serve the Pacific Northwest and Western Canadian region. Given the increasing cost structures, price volatility and sometimes variable quality of some offshore suppliers, these facility initiatives reflect our conviction that the establishment of high quality, environmentally sound, well-positioned manufacturing capabilities will be a distinct advantage in remaining a premier supplier of crop protection chemicals in the years ahead. I would like now to shift the discussion about corn. Probably the most significant series of strategic developments for American Vanguard relates to our expanding participation in the dynamic U.S. corn market. In this arena, we feel the circumstances are breaking in our direction. In herbicides, insecticides, resistance management, and specialized applications equipment, we find ourselves with the right solutions, at the right time, to fulfill grower needs. After years of reliance on glyphosate herbicide chemistry to provide a broad-spectrum solution to weed infestation, a number of weeds and grasses are exhibiting resistance to glyphosate applications. Several chemistries have been tried to address this issue and recently our offering, Impact, has emerged as one of the most comprehensive products for meeting this need to mitigate tough-to-control weeds and grasses. Indicative of this trend is the recent application by Monsanto Corporation to add Impact as a complementary herbicide to its Roundup herbicide labels. As we have said before, Impact is a product that can achieve significant additional growth over the next several years and we are accelerating our sales and marketing efforts to capitalize on this opportunity. Second, with regard to insect resistance management, as we have discussed before, the preservation of genetic plant defenses is predicated on keeping insects from developing adaptive resistance. An important element of this effort is the establishment of so-called refuge acres, where a portion of the pest population can survive to propagate future generations that remain susceptible to the genetic toxin incorporated into the seed in plants. As the acceptance of genetically modified seeds spreads and becomes the predominant corn growing approach, concerns have increased over possible resistance development that could jeopardize genetic trait technology. Consequently, both the agricultural regulatory agencies and large genetic seed manufacturers are embarking on planting with planting season on a high profile and more stringently enforced campaign to respect the refuge. American Vanguard is in an ideal position to capture this market. The use of our half dozen soil insecticides and our specialized application equipment provides growers safe, effective and economical control for this critical resistance management effort. There are efforts underway to moderate refuge requirements through the introduction of multiple modes of action, stacked, trade seeds. It is our belief that this will take years to implement and further, there is no assurance EPA will buy into the concept and reduce refuge requirements. However, even if refuge were reduced from the current 20% requirement to 5% requirement the total amount of acreage in the refuge segment available to American Vanguard would be greater than our total current corn acre participation today. Our third initiative is the dual technology approach to yield enhancement which we have labeled “Best of Both Worlds”. As you may know, we recently announced very impressive results from a series of experimental field trials using granular soil insecticides to augment the insect protection provided by genetically modified seeds & plants. In a series of 17 major universities sanctioned experiment field trials, conducted across the corn region, our granular soil insecticides, applied at low concentrations, using efficient SmartBox application equipment significantly enhanced harvested corn yield by an average of 12 bushels per acre above the yield levels achieved with the use of genetically modified trait corn alone. Our corn soil insecticides are particularly beneficial because in addition to reinforcing Genetically modified adult rootworm defenses, our products handle the additional threats posed by secondary pests such as wireworm, grubs, and nematodes. They also contribute to managing the development of resistant rootworm biotypes by controlling rootworm larvae prior to the insect’s ability to feed on the plant roots. Given the high commodity value of this incremental output, and the modest $15 per acre additional input cost, the return on investments for using this convenient dual approach is substantial. In certain portions of corn acreage which experienced higher that normal insect pressure, the benefits experienced may exceed the demonstrated results in enduring trials. We are hopeful that further university experimentation, expanded 2008 trials conducted by American Vanguard and others, plus the superior results achieved by early adopters of this methodology will make the “Best of Both Worlds” insect management & yield enhancement approach an industry standard beginning in 2009. Wrapping up on corn and our role as a compliment to trait corn, with Impact, we have one of the best available glyphosate-adjuvant herbicides for filling the gap that exists for tough-to-control weeds. With an array of corn soil insecticides and our specialized application equipment, we have the best regime for managing the near-term increase in refuge acre demand. When it comes to maximizing corn output, we have a demonstrated method for enhancing corn yield on genetically-modified acres by adding selectively applied corn soil insecticides to GMOC a dual technology approach that can substantially boost productivity. When it comes addressing the critical needs of corn growers, increasingly distributors, retailers and growers themselves are beginning to appreciate that American Vanguard has the right solution for their problems. For more information on these initiatives I suggest you pull up our latest web site addition for specific details. For the other segments of our business, as mentioned in our press release, we are experiencing solid performance in many of our other market segments. In potatoes, vegetables, fruits, and specialty turf, ornamental, and consumer markets. Sales continue to improve and our market leadership positions remain sound. In cotton, we continue to suffer from decline in acreage, but our Bidrin sales and our new Orthene product additions should maintain our strong presence and strong market share for the longer term. The years 2006 & 2007 saw relatively dry Gulf Coast weather patterns which hampered our mosquito control franchise. We hope that more normal rainfall will permit some recovery in that segment in 2008.International sales continue to expand each quarter and we will be pushing very hard in 2008 to extend our reach in the Central and South American region. In conclusion, I want to reiterate how well positioned I believe we are in the dynamic world of crop protection. From our niche market products, to our array of corn solutions; from our high quality manufacturing capabilities to our on-going international expansion. American Vanguard should be able to fully participate in the growth of the Agricultural and Specialty sectors. We will continue to inform you of our progress on these many programs and at this time, I would be happy to respond to any questions that you may have. Operator?
Operator: (Operator Instructions) Your first question comes from the line of Mark Gulley of Soleil Securities.
Mark Gulley -:
Soleil Securities: Good morning guys. I have got a couple questions regarding the emerging corn franchise you are developing Eric. It seems to me like you got a solution for corn farmers on all their acres. On the Bt acres you are going the tertiary and with secondary insects and on the refuge acres you are going after primary. So you got a message to all corn farmers for all corn acres. Do you use it that way or are the ways to apply the products a timing of what products that you will actually use? So different that you think of it as two different opportunities?
Eric Wintemute: Well, you are saying refuge and yield enhancements are two different opportunities?
Mark Gulley - Soleil Securities: Okay refuge and what we call the Bt acres [inaudible] 80% acres and also for the 20% acres.
Eric Wintemute: Well I think there are different approaches and the targeting in different manners, but obviously the two go hand in hand. I mean, what we would see as ideal is a grower with this SmartBox system putting full rates down on a refuge acre and putting down maybe less than full rates on the rest of these acres in order to get a yield enhancement boost there.
Mark Gulley - Soleil Securities : Secondly, with respect to pricing, it sounds like promotional expenses will have to ramp up some more this year, combined with raw material costs. What kind of price increases do you expect see this year to fund both of those areas of cost pressure?
Eric Wintemute: The corn soil insecticides we did increase pricing on those. I do not have an exact percentage of what average but I think we were somewhere in the 10% range. Impact I think we kept relatively closely, we had a moderate increase, I think it was less than 5% as I recall.  Last year we had some pretty strong increases, at least for us. In advertising we ran 25,000 radio ads with Impact in order to get awareness across. We are certainly moving the budget up a little bit this years as we are trying to push the initiative for the enhancement yield. But we have other companies or seed companies that are really pushing the refuge message which we expect to see benefiting from.
Mark Gulley - Soleil Securities: Eric finally, given the importance of corn to your growth, can you give an idea of how much your corn related products increased in 2007 and how they might increase in the current year of 2008.
Eric Wintemute: I probably will not give you that much detail Mark that is a nice question. Let me give you a little bit though, let me see… Corn is probably up about 50% for us in 2007, surely with that one on our way. Some of the sales that we have in 2007 reflect the 2008 season, so I am talking about calendar sales versus actual year. But we are pushing and we have others that are pushing the refuge message and we are pushing the corn soil insecticides over the top of genetic corn. There are some researchers and university people advising doing that, but as far as companies I do not know if any other company is promoting that and as you know we are a smaller player in that arena, but I think we have demonstrated our ability to penetrate the market well with Impact and with the two initiatives that we talk about a year ago, we have made better progress than we thought at this point. Unless we will wait to see how this year plays out.  We still have a great number of corn growers that are sitting in snow that have not made the decision as to what they are going to do when they come to plant in a month or so.
Mark Gulley - Soleil Securities: Okay Thanks I will go back and queue.
Operator: Our next question comes from the line of Mike Judd of Greenwich Consultant.
Mike Judd - Greenwich Consultant: On the acquired businesses, the fungicide and insecticide business for modeling purposes, how should we be thinking about those in either terms of revenue or margin potential?
Eric Wintemute: We have not provided the details. Traditionally our purchase price is some percentage of sales or EBIDTA and we tend to have a pretty quick turn around on our return of our investment. You can look at some of the historic levels of purchases or acquisitions that we have had and kind of model from there. There is nothing overly unusual. I think the PCNB from Chemtura, the advantage there is this is a product we have been manufacturing since 1991. We knew the market very well, Chemtura happened to be the other half of the marketing arm for that molecule. It is something that we knew well. They had some labels in countries that we did not have, they also had some brand recognition added to it. I think that is going to turn out to be a very good acquisition for us. With regard to Orthene, they had predominantly litmus tested the market. They have focused more on the non-generic pressure business; the generic pressure mean more highly concentrated in cotton. We have a pretty good presence in cotton and think this is a good add on to our existing products. We are also seeing where supply sources of this product coming from Asia historically are beginning to see some significant price increases. We are hopeful that this market in cotton will be more lucrative and one that we would to participate in. I might not be answering your question at all but…
Mike Judd - Greenwich Consultant: Well, wonder if I could do a follow-up question to that, I appreciate your comments, about how I could go back and basically look at previous acquisitions -- and you guys happen to have a lot of acquisitions over the year -- but I am new to covering your company so I do not know better and I do not have a lot of that data. Perhaps in the back of your mind you might have some relative statistics in terms of how big similar types of acquisitions have been. And I am not so much interested in knowing all the exact details, as much as for modeling purposes I really do not have anything really to apply to 2008. Are there revenue and the war? Is it reasonable to think that there is really any profit from these lines this year or sometimes it is a better assumption to that essentially the first year there is no profit? Again, I apologize for being new to covering your company.
Eric Wintemute: And each one has a little different details. Some we acquire with cash up front, some are payments over time, but I might suggest you, if you are looking at knowing a little bit more you can call Bill Kuser. He will be available later today or he can call you back and maybe walk you through some of the background information.
Mike Judd - Greenwich Consultant: You have mentioned that you have increased capacity. I just wonder if you could talk about and anyway that you feel comfortable about volume perspective or whatever, what you think the year over year comparisons could look like this year even if you want to assume there is no change in the number of acres of corn. I realize that it is more likely that corn acres will be down modestly this year but in anyway that you will feel comfortable discussing the income method of capacity. In other words If the 10% increase in capacity across the board, or how should we think about that?
Eric Wintemute: When we acquired the plant they have equipment that specialized in certain chemistries. So when we talk about capacity expansion, typically we are buying facilities that is not running that capacity, but we are buying in because their making something that we are currently utilizing or that we have acquired. In the case of Idaho, we have not been able to do it flowable, unless there is a liquid formulation that mixes well and we can do emulsifiable concentrate, but we have not been able to control. So that is something that we have had to have other companies do for us. This did expand our formulation capabilities and we do have additional capacity I mean we could expand our existing products and not have to add on additional capital requirements to do that. In the case of the Hannibal facility that has been making Counter and Thimet for years. Is not has made for years, it is not running anywhere near capacity. There are also a number of other chemicals that use the same starting materials that those do, One of those is the particle with me, which had not been made there historically but it something that we could do.
Mike Judd - Greenwich Consultant: So in terms of planning purposes, getting back to the question, do you have an expectation based on the new capacity that you have for additional volume on a percentage basis or in any way that you would like to help us?
Eric Wintemute: When we acquire a facility basically we pencil them out as status quo, It is does not make sense if we do not make an improvement. And then to the extent that we do improve and we have done some priority growth of the products that we are making there in addition to what we have done manufacturing for other companies. Other companies that maybe have their product made some place else. We compete for that opportunity. The margins for those are obviously smaller than they would be for products that we are making on our own behalf, but it does utilize the plant. The more efficient we are the lower the overhead and the lower cost that we have on the rest of the products that we are manufacturing there. Our strategy is to make sure that we were able to maintain the volume from the existing products there and most of our team is taking about acquisitions to figure how we can expand the market for those products and then we look at other products that we can manufacture. These are products that we may able to acquire like in the case of Orthene, a product that we could fit in there, or we look to other companies and say “we have a similar chemistry how about we made this for you to use in your farm.”
Mike Judd - Greenwich Consultant: I just want to make sure I understand the strategic rationale that you are giving for us, but when you are doing, your planning, your building capacity, your acquiring capacity and whatever you are doing, is everything that you do to approach it and still in a “loosey-goosey’ way or do you have an idea in your mind let us say for 2008 versus 2007 that overall you would like to see volume up 10% or whatever number that you would care to disclose to us. What is that percentage number or anything again-any absolute basis. Our job is to try to model what your earnings are likely to look like and that is what I am trying to get at.
Eric Wintemute: So I guess what I am referring to is that what we are willing to pay for the facility and what we think your cost to operating is, we make the acquisition on the basis that if nothing changed this makes sense for us. In other words are we can make the decision and we are better off buying these products in the future in the foreign market or are we better off taking control of this facility that exists and running models just at that point. Because frankly we all have, we go to acquire products, we try to build what we think is reasonable expectation but what we have for sales growth and in our budget is probably different than we have done for the purposes of acquiring. So we are probably a little more conservative when we acquire facilities or products, but once we have them determine what the upsides are and what we look forward that. So I guess what I am trying to say is that if we maintain status quo and you are probably breakeven concepts for us on manufacturing, then to the extent that we can grow the market, we lower our cost to manufacture into the extent that we have, other products to it will lower our to manufacturing and to the extent that we can bring in products from others and increase the upgrade the facility. Those are all incremental add-ons for the company benefits. We bring it on and we have ideas and direction as to what we would like to do, and it is about plant utilization, the right to run every plant at 95% of capacity and have all the new plants to expand available to us to acquire without making a huge investment. And one thing that we would say that it is very difficult to build a grass roots plant in the US today considering the cost of construction outside US or Europe, in Asia for instance, but if we can acquire the facility without making a significant investment then we are looking at the cost of operating here versus the cost of operating overseas. Our approach has been the upsides of maintaining control of manufacturing in the United States on a long term basis is a very viable approach to our business.
Mike Judd - Greenwich Consultant: Ok, but it sounds like given the way you have framed this out is that we should assume that volumes are essentially flat. Is that correct? Because it sounds like you are sort of hedging, but at the same time there is a lot of opportunities, but you do not sound like you want to commit to any kind of volume numbers so should we sense that volumes are essentially flat for 2008?
Eric Wintemute: Is that with regards to the plant that we are acquiring?
Mike Judd - Greenwich Consultant: Yes it is that and also the expansions. Didn’t you indicate that you have expanded capacity?
Eric Wintemute: Well when we buy these facilities and they are not being utilized to the fullest we have expanded capacities.
Mike Judd - Greenwich Consultant: Ok, so I think that what you are telling me, I do not want to beat this to death but that basically volume should be flat.
Eric Wintemute: No. The volume of the products that we acquired?
Mike Judd - Greenwich Consultant: Just overall volumes, year over year.
Eric Wintemute: No. We do expect growth in 2008 in a wide variety of our products.
Mike Judd - Greenwich Consultant: Great, what I am trying to understand is, what is the percentage increase in volume year over year? That is what I have been asking.
Eric Wintemute: We have not devoted any sort of guidance for what sales, or revenue or earnings growth in 2008 will be. Let me say this on that behalf though we have, for years talked about double digit growth, both top and bottom line, and we did so for 7 consecutive years and we missed in 2006. 2007 we are back in double digit growth for both and I would say that on an on-going basis that is a goal for our company and something that we would like to try and achieve.
Mike Judd - Greenwich Consultant: That is great. That is something I can hang my hat on. Thank you very much.
Operator: Your next question comes from the line of Jim Bartlett with Bartlett Advisors
Jim Bartlett - Bartlett Advisors: Can you give us an idea of the CSI increase this year?
Eric Wintemute: Corn soil insecticides increase for the 2008 year? Or for 2007 versus…
Jim Bartlett - Bartlett Advisors: 2007.
Eric Wintemute: So in 2007, on the ground usage versus 2006? So that is taking into account inventories and I think we feel we were up slightly on pounds on the ground from 2006,I do not know maybe in the range of 10% range on pounds on the ground in 2007 versus 2006.
Jim Bartlett - Bartlett Advisors: Ok and just in terms of calendar revenues 2007 over 2006.
Eric Wintemute: For the calendar, we are up about 11% percent.
Jim Bartlett - Bartlett Advisors: How would you categorize corn for 2007?
Eric Wintemute: I would say we are up around 50%.
Jim Bartlett - Bartlett Advisors:
Eric Wintemute: Oh cotton. These are going to be really rough numbers, because some of the products get used in a variety of crops and I am just going to focus on a couple products. We were down about 30%.
Jim Bartlett - Bartlett Advisors: You had referred to the Impact herbicide market in the past as a $200 million market?
Eric Wintemute: Correct.
Jim Bartlett - Bartlett Advisors:
Eric Wintemute: It is a little bit of a moving target, simply with the amount of glyphosate that is being used out in the market. We were really talking about the post emerging market, excluding glyphosate. I would say it is probably still in that same arena.
Jim Bartlett - Bartlett Advisors: So then you gained considerable market share?
Eric Wintemute: Yes, we did.
Jim Bartlett - Bartlett Advisors: Last year I believe you had to hire temporary sales people as well as existing, was there a boost in your advertising budget?
Eric Wintemute: We did, yes.
Jim Bartlett - Bartlett Advisors: What is your strategy this year on both items?
Eric Wintemute: We did actually bring on five new full time employees in addition we were really successful with the temporary group that we had. We have actually boosted their participation a little bit more in this year. Again, part of what we had them do is to do all the calibration of the SmartBox systems so that our full time people were not going farm to farm handling the ramp ups for people and so it relieves our people of that burden but in addition they have learned some very effective sales work and our positioning all of our concepts here of refuge acre and doing a little bit over the top trying to get counter going back in the corn market which we virtually disappeared from. And we are having good results with that. On the advertising again, people who are up the website, there is a refuge advertorial that Monsanto is running across the Corn Belt that we are mentioned in. We actually have a SmartBox user to talk about the value of SmartBox in refuge. There is a yield enhancement message that we have and then there is Impact advertisements that are out currently across the Corn Belt. We will be doing similar maybe even up a little bit in our radio ads as we are pushing the yield enhancement message in radio ads that will be starting in the next weeks and in line for the next 2 or 3 weeks. We also had regular success with and very good response from our radio ads on Impact and I think we will continue with that messaging that will hit right about the time that the growers are in their corn farms or in their planters , in the tractors and we will push again awareness for Impact. We are very pleased that Monsanto sees the value of our product and they have a position where until it is on their label, they as an individual company will not go out and recommend it. They are expecting to have that label registration before the market starts and it is a little different having us talk about it. And we did not know how and what has been for the last year that we have had the Roundup product on there, but it is a little different between us having 10-20 people in the corn market versus talking about the advantage of Impact with Roundup versus having Monsanto with 600 people talking in that position as well. We are real pleased with that. Something that we worked hard with Monsanto and we were pleased that they saw that Impact would be good fit partner for Roundup, because they are driving the bus and there is no doubt about it.
Jim Bartlett - Bartlett Advisors: Just one other question there were some recent statistics that came out in the commodity class that I think it is one of those statements where the 60% of US corn crop was glyphosate tolerant last year. As quoted from this guy from Syngenta. Anticipate that the acreage will get about 90% plus in the next several years. Would you agree with those statements? And the impact of those for you?
Eric Wintemute: I did not even think it is definitely going that direction which is why we feel it is important for us to tie our product, Impact onto the glyphosate train if you will. The opportunity for us will be the escapes from the glyphosate technology that occur with these hard to control weeds and that they will need something to recommend to use with that product. Every year there is a new glyphosate resistant variety of weed that comes up.
Jim Bartlett - Bartlett Advisors: Thank you very much Eric.
Operator: Your next question comes from the line of Austin Root of DLH Capital
Austin Root - DLH Capital: Hi guys. I wanted to just ask about organic growth for 2007? It is excluding in particular the 20 million or so in sales of the acquired businesses from Q4 of 2006.
Eric Wintemute: You want to exclude…
Austin Root - DLH Capital: I guess I am trying to see if I am thinking about organic growth and that of you could exclude that now but I think it was around 20 million that organic growth was 80% or so. Is that right? Am I thinking about that right?
Eric Wintemute: There were some sales of Counter in the fourth quarter of 2006 so your number 20 is higher than the differential between the two, No it is not that high. If you take that growth out…
Operator: Your next question comes from the line of…
Eric Wintemute: No we are not through, I am sorry we are not quite through yet. I think we had about 4% growth through the rest of the product line.
Austin Root - DLH Capital: Ok, in terms of pricing, and this is sort of hard to do but in aggregate it helps to think about it. How much did pricing contribute to sales growth for 2007?
Eric Wintemute: We obviously had price increases and we had more difficulty in 2007. Price increases for glyphosate and some many products have jumped so dramatically over the last even 60 to maybe 120 days. So pricing increases…Obviously if the farmers are healthy they can involve some of these costs that have not been able to be passed on. I would say we did not have 4% price increases across the board that made up that growth, so we definitely had volume growth. I would not want to quantify that but obviously some of that 4% we have some price increases but we also have a couple of products that had some price erosion, a couple in the generics market. So some small portion of that 4% was price increase and some portion of the remaining amount was an increase in volume.
Austin Root - DLH Capital: Last question, working capital was a nice source of cash for you guys in 2007 after the use of cash in 2006; it looks like given the way you were able to pay out debt. How about 2008 as you ramp up on some of the initiatives, do you have a look as to where your capital will land relative to where it is at now?
James Barry: Hi this is Jim, I think working capital will be at this time next year we will probably be status quo. We will not change. We will generate capital but we will use it in the business.
Austin Root - DLH Capital: Great, thank you.
Eric Wintemute: One of the things that we did do, I mentioned earlier about our receivables being down with sales up. We did something different this year that we talked about on our last conference call. Growers willing to pay cash, we had a program where some of the inputs that they were buying for 2008 they could pay cash for. To us it is an easy offering to do and something that we were happy with the participation that we had. We will continue to do so for next coming years as long as growers remain healthy and want to prepay inputs; I think it makes sense for us.
Operator: Your next question comes from the line of Bryce Winter
Bryce Winter: Hi, I am particularly happy to see the debt down to $60 million I am looking forward to seeing the balance sheet. Idaho, are you going to buy seed and then coat it with yours or someone else’s product and then sell seed? What is the thought there?
Eric Wintemute: That is not on the board currently. The product stimulus is the full numbers of flowable products get used for seed treatment so this would be products that can be made there and that were then sold to people who actually treat the seed.
Bryce Winter: Ok your products or other peoples products?
Eric Wintemute: We have some of our own, but predominantly right now these are products being launch out there that get used for seed treatment.
Bryce Winter: Ok sounds good and I would assume that the capital expenditure for the Idaho plant plus the Missouri plant is relatively modest?
Eric Wintemute: That is correct.
Bryce Winter: What can you tell us about the Axis Metam Sodium line as much as you can like capacity, dollars per year and capital expenditures?
Eric Wintemute: Capital expenditures is modest, capacity is well beyond what will be needed in that area. It is the same as with our facility in Los Angeles, we operate at a certain percent or maybe 50% of the time. Metam is one of those high volume items the exact opposite of Impact where you are going out at a ½ to ¾ of an ounce per acre; Metam is 30-50 gallons an acre. So being close to the market is important. The market in Florida and the southeast has been growing steadily for us; we have a considerable market share in that arena. However, methyl bromide, which is used strongly in Florida, continues to be phased out and the cost of using Metam Bromide is higher and higher. We think there will be some good opportunities for growth in that region and it just makes sense for us to set up there.
Bryce Winter: Can they import that product from foreign countries into Florida?
Eric Wintemute: There are three current registrants of Metam Sodium, so anybody looking to bring that material in would have to pay the compensation to come in. We would probably look at this Florida facility as utilizing that for some of our export business as well. We did participate in markets outside the United States and we shipped material from our Los Angeles facility down to Mexico and Central South America. We will look at the logistics and freight and see if it makes sense to ship from Alabama. We did have an advantage in the Alabama facility in that it is a very low cost whereas compared to the other manufacturing facilities because the raw materials is made within 3 miles away from the Axis facility and they have to get used to it being very close. It is the lowest cost logistically of raw materials so it just makes sense for us to be our lowest cost production area rather than producing it in Los Angeles and shipping it for them. We currently have raw material shipping from the southeast to Los Angeles, being made and then shipping back. This just makes more sense to get there.
Bryce Winter: Terrific. Fifteen years and there was a law suit that was announced in November concerning DBCP and Dow & Dole were held liable. Were you in that lawsuit and if you were, why were you successful?
Eric Wintemute: We happen to have Tim Donnelly, our DBCP in-house counsel guru sitting in here, so I will let him answer that question.
Tim Donnelly: Yes I will answer that. We were involved in that case and we ended up settling out of the case in advance of it going to trial and it really turned out to be well less than the cost of the defense. We think that the remaining co-defendants carried on a vigorous defense and our presence there would not have added much to our involvement in that entire market. Our participation with DBCP was comparatively very small and as we understand it is likely the decision will be appealed by one or more of the co-dependent they did not go to post trial.
Bryce Winter: Well while I got you on the line, do you have any comments on Aceto lawsuit?
Tim Donnelly: The only comment I would have is that at this stage of the game the Aceto has sought a preliminary injunction against us and the Federal Courts seated in Atlanta denied that injunction stating there was not a substantial likelihood on merits of any of their claims. While that case remains pending, the disposition of that motion is certainly clear.
Bryce Winter: Thank you very much. Congratulations on a great year.
Operator: (Operator Instructions) Your next question comes from the line of Mark Gulley of Soleil Securities.
Mark Gulley -: Eric I want to see if you can comment on some competition that you are going to expect to see on the two key initiatives that you have talked about today. Let us start first with competing herbicides that could be in tank mixes with respect to the tough to control weeds. Then what other corn soil insecticides do you think will give you a run for your money as you go after those two sub markets?
Soleil Securities: Eric I want to see if you can comment on some competition that you are going to expect to see on the two key initiatives that you have talked about today. Let us start first with competing herbicides that could be in tank mixes with respect to the tough to control weeds. Then what other corn soil insecticides do you think will give you a run for your money as you go after those two sub markets?
Eric Wintemute: Well with regard to Impact are you saying what other products that might team up with Roundup as a tank mix partner?
Mark Gulley - Soleil Securities: Yes, I walked around the show floor in Nashville Commodity Classic and a lot of people had promotional literature and posters and stuff in their booths saying they were also on the case when it comes to tough to control weeds. As you take a look at Impact against products from FMC or even Syngenta how do you think you stack up?
Eric Wintemute: With regard to Syngenta’s product, Callisto, the advantage we have there is that we kill grasses and they are not effective on grasses although they did a good job on broadleaf. Bayer is launching their new product Laudis, which in our review does have activity on grasses, although not to the level that we have and also does a good job on broadleaf. We think we positioned our product well. We are the ones who are getting listed on Roundup and again we are really driving that whole train. We are not naive enough to think that we are going to own this market, but we think we have held up very well and penetrated extremely well within the limited time that we have been in this market. Our customers seem very, very pleased and we seem to be gaining more strength with our customers against competition. I think BASF’s Status product is very strong, which is a mixture with Dicamba that seems to be in a good position fairly well. I think that we have a good product that performs and if your customers can make money and ultimately see a good return on investment and your out there promoting it and you are doing the job, I am confident that we will continue to penetrate and gain market share in that arena. In the corn soil insecticide market, the traditional corn soil insecticide took a big hit; bag business has dropped very dramatically. We have not taken near that biggest hit in our SmartBox in fact our SmartBox system sales are up quite a bit this year over last year. We can keep an ongoing long term viable business here. What is our advantage? The other companies are not really aware of anybody that has more than one insecticide that fits that market and we have got six. So I think we are in a good position and all those new planting equipment that will attach to the new planters and allow granular application is SmartBox with the exception of Syngenta has a liquid that can go on to the equipment. Traditionally, growers have not been as accepting of liquid products and have found more efficacies with granular products. Our biggest downside in the corn soil insecticide market is if we can not show a return on adding granular products to the seed. If the seed shows no problems sowing forward and they stacking up traits which is probably he perfect thing there would be no reason why somebody would add on the granular products it they can not see yield enhancement. There has not been, historically any genetic products that have not had some holes over time and we think we are in an ideal position to capitalize on those holds and enhance the value of traits on a long term basis.
Mark Gulley - Soleil Securities: You talked about a 30% decline in Bidrin I think or maybe cotton products overall for 2007, what is your outlook on how much cotton acres you will be down in 2008. And therefore what kind of further decline might you see in Bidrin perhaps?
Eric Wintemute: I am betting on and I thought cotton would be up because I mean a lot of the corn that was done down in the south did not get harvested, so I believed a lot of these guys would switch back. With wheat and soybean prices where they are, cotton has not increased to the price levels that would make a difference. It is still a moving target at this point. I think cotton acres will maybe be down another 10%. I think there was discussion of 10 ½-11 last year and saying that it could be 9-10 this year. Our early position of Bidrin seems strong, there does seem to be some shortages of other products available and I think demand is going to be very strong across the board for insecticides and herbicides and there are a number of products that are showing up short. And we will see if that is the case we may see a stronger use for Bidrin in 2008 than we did in 2007.
Mark Gulley - Soleil Securities: Thank you
Operator: There are no further questions. Back to Mr. Eric Wintemute.
Eric Wintemute: Again thank you very much for participating with our conference call and we look forward to updating you over the next quarter on any new directions that we go and we will see you at the next conference call which will occur in the first part of May. Thank you very much.